Operator: Good day and thank you for standing by. Welcome to the Quarter One Nu Skin Enterprises Earnings Conference Call. At this time, all participants are in a listen mode only. After the speakers presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Scott Pond. And you're all set.
Scott Pond: Thanks, Mackellar [ph] and good afternoon, everyone. Today on the call with me are Ryan Napierski, President and CEO; Connie Tang, Chief Global Growth Officer; and James Thomas, Interim CFO. On today's call, comments will be made that include some forward-looking statements. These statements involve risks and uncertainties, and actual results may differ materially from those discussed or anticipated. Please refer to today's earnings release and our SEC filings for a complete discussion of these risks. Also during the call, certain financial numbers may be discussed that differ from comparable numbers obtained in our financial statements. We believe these non-GAAP numbers assist in comparing period-to-period results in a more consistent manner. Please refer to our investor website for any required reconciliation of non-GAAP numbers. And with that, I'll turn it over to Ryan.
Ryan Napierski: Thanks, Scott. Hello, everybody. Thanks for joining us today. Since we introduced Nu Vision 2025 last year, we've been actively engaged in our multiyear transformation to becoming the world's leading integrated beauty and wellness company that's powered by our dynamic affiliate opportunity platform. Our Q1 performance was in line with our expectations despite the ongoing macro challenges, and we anticipate steady improvements throughout the year. While first quarter was down year-over-year due to the difficult comparisons largely associated with the macroeconomic headwinds and strict China COVID lockdowns from Q2 of last year, we performed within our guidance range for both revenue and EPS. We achieved better-than-expected results in South Korea and Mainland China, while the Americas and Southeast Asia were impacted by macroeconomic factors, including inflation and recessionary concerns. While we expect the near-term macro environment to remain challenging, we see encouraging signs in several key markets, including Mainland China, where we experienced sequential growth in customers and affiliates. We also continue to make steady progress on key initiatives, enabling New Vision 2025 and are reiterating our full year guidance where we anticipate continued improvement in our results over the balance of the year with a return to growth in the fourth quarter. We continue to advance and empower me our personalized beauty and wellness strategy with the introduction of TRMe in select Asian markets during the first quarter. This unique weight management system provides a personalized approach that balances the core elements of a successful program, including supplements, diet and regular exercise. We previewed TRMe in South Korea during Q1 and early results are exceeding our expectations. In Q2, we'll be rolling out the TRMe program to the general public and South Korea and introducing it in Mainland China with additional key markets to follow in subsequent quarters. Another key component of Empower Me that is foundational to our future growth is our proprietary connected iO device systems. Since LumiSpa iO's introduction, customers have completed over 3.7 million treatments, which are providing valuable insights that enable consumers to experience better results. With 85% of our iO customers reporting that customizable features enhance their LumiSpa experience. IO is also helping to inform our future iO device systems road map app features and portfolio plans. Beginning in Q3, we will preview WellSpa iO, our first holistic wellness and beauty device, which helps users restore, revitalize and recover their body. For 2023, our goal is to generate approximately 15% of revenue from IO connected device systems on our way to 30% by 2025. Next, let me speak about our second core element of New Vision 2025, affiliate powered social commerce. We continually evolve our go-to-market model in ways that enhance the potential opportunity for our micro and nano influencers to make it easier for them to scale their businesses. This includes the new affiliate rewards and recognition program in North America introduced in Q1 and enhanced affiliate powered business model for Latin America in Q2 and other programs around the globe. We also continue to introduce several social selling products, including beauty-focused Collagen Plus in Japan and EMEA in Q1, and along with new color lash and brow serum in North America and beauty-focused Multi-beauty in EMEA in the second quarter. We continue to see our paid affiliate outpaced sales leaders by a healthy margin, demonstrating adoption of their social commerce model. Our digital ecosystem is the third pillar of New Vision 2025. During the first quarter, we continued to elevate the user experience of our Vera consumer app and Stella affiliate app, including sharing and attribution features to drive adoption of the apps. Our monthly active user ratios that we outlined last quarter for Vera increased to 11% of average monthly active customers or 29% of our stated annual goal. One of the most exciting things about Vera is that we've seen a 3x higher conversion rate versus our website when the consumer completes the personal skin consultation in the app. For Stella, our monthly active user ratio increased to 27% of average monthly paid affiliates or 95% of our stated annual goal, putting us well ahead of schedule for 2023. These apps are playing an increasingly important role in our business transformation as we dive deeper into social commerce and the gig and more economy. Also, we're about to start the initial deployment of our new global e-commerce platform, beginning with North America in Q2. This will enable a more dynamic and seamless digital user experience across our website and apps provide greater scalability and drive significant operational efficiencies. And finally, I'd like to briefly call out our recently published annual social impact and sustainability report on our website. I'm excited about our focus on this work that is core to our mission of being a global force for good and the progress we're making. For example, last year alone, we were able to save more than 23 tons of paper and 82 tons of plastic from changes to our product packaging alone. So in summary, we're off to a good start in 2023 and continue to execute well against the key priorities that underpin new Vision 2025 despite persistent macro headwinds. In addition, we're starting to see encouraging signs in key markets like China and South Korea and continue to manage our cost structure conservatively and remain thoughtful with respect to setting expectations. So with that, let me turn the time over to Connie to take you through our market performance and speak further about the channel growth plan. Connie has been out in the market for the past few months, and will provide you with more color and context. Connie?
Connie Tang: Thank you, Ryan. We were pleased with our overall results of quarter 1, as Ryan discussed. While customers' affiliates and leaders are down for the year due to difficult year-over-year comparisons, we continue to focus on regenerating growth in the channel, and we are seeing improving trends in key markets. So let me share a little insight on each of our reporting segments. In the Americas, reported revenue and other KPIs were down against tougher comps after strong growth in the US for the past couple of years. An increase in inflationary pressures also had an impact on consumer spending. At the end of the quarter, our price adjustments and promotions for LumiSpa iO drove strong increases in unit sales and month-over-month new customer acquisition. In quarter two, the Americas is focused on launching new color lash and brow serum to help grow the channel and drive social commerce. The region is also aligning sales leadership to build momentum for the introduction and launch of our next connected device later in the year. Mainland China performed above our expectations in spite of a difficult year-over-year comparison, and we are encouraged with some of the early signs of positive business activities. The lifting of government restrictions related to COVID has led to a renewed customer and paid affiliate sequential growth. We are also seeing our sales leaders in China make the transition to hybrid meetings with many virtual attendees enhancing our reach. A TR90 promotion created energy among our sales leaders and gives us some momentum going into the Q2 sales leader preview of ageLOC TRMe. As noted last quarter, we have some work to do to rebuild our sales force and revitalize momentum. We remain optimistic in the potential of China and are still projecting a return to year-over-year growth by the end of the year as we introduce our WellSpa iO connected device system. In Taiwan, an increase in local currency revenue was offset by continued challenges in Hong Kong. Taiwan had a successful ageLOC Meta campaign in March and launched TRMe during the quarter. In Hong Kong, we are working to rebuild momentum following the impact of prolonged COVID lockdowns. Looking ahead, we are planning several expos in both markets this quarter to drive sales leader engagement and customer acquisition and are focused on driving sales of LumiSpa iO and adoption of the Vera app ahead of our next connected device launch in the back half of the year. The pressure of price increases and overall inflation in Southeast Asia and Pacific contributed to a slowdown in this region. Indonesia, which is the largest revenue market in this market and the strongest in social commerce adoption was a bright spot with year-over-year revenue growth. We are focused on growing our channel with an upcoming campaign for beauty-focused Collagen Plus and ageLOC LumiSpa iO. EMEA continues to be challenged by external disruptions resulting in a revenue decline of 6% in constant currency year-over-year. They were bright spots with the limited release of the Rolls Gold ageLOC LumiSpa iO and our focus now is on expanding the channel and building consistent momentum. EMEA has been our strongest region for connected devices as a percent of revenue, providing a good foundation ahead of the launch of WellSpa iO in the fall. South Korea performed well with 3% growth in local currency as well as in sales leaders. A key driver for South Korea with strong sales leader alignment, resulting in a highly successful preview of TRMe, which serves as a solid lead in for a full market launch in June. As a result of the TRMe preview, there was a large uptick in new sales leaders at the end of the quarter. During my meetings and Seoul last week with core leaders, it was evident that the leaders continued to build momentum in preparation for the full TRMe launch and Wella later in the year. Japan remained relatively stable with a modest decline in constant currency revenue, this past week, I was at a live event to celebrate our 30th anniversary in Japan, and I saw firsthand the great energy and excitement from the 7,000 affiliates in attendance. We are focused on leader engagement and customer growth with the upcoming launch of Beauty focused Collagen us in advance of the launch of WellSpa iO. Despite a challenging quarter, we met our projections and are on track for the year. We remain confident in our new Vision 2025 strategy as we continue to make progress through the launch of personalized product offerings and the expansion of our social commerce model. and increased adoption of our digital tools for consumers and affiliates. And now I'll turn it back to you, Ryan.
Ryan Napierski: Thanks, Connie. I wanted to quickly introduce James Thomas, who is serving as our interim CFO James has been with the company for 12 years and currently serves as our Chief Accounting Officer. He spent the first part of his career with PricewaterhouseCoopers, followed by a stint at another technology-enabled wellness company. James has been directly engaged in enabling New Vision 2025 through our strategic resource allocation efforts and has been an outstanding partner over the years. He's primed to serve in this capacity and is hitting the ground running. So with that, James, take it away.
James Thomas: Thank you, Ryan, and thanks for joining us today. I look forward to getting to know all of you, and I'm excited to work more closely with this incredible team and an expanded role as we invest in key strategic imperatives to help drive shareholder value. I'll give a brief Q1 financial review and then provide initial Q2 guidance and speak to our full year 2023 projections. For more information, please visit our Investor Relations website. For the first quarter, we generated revenue near the high end of our prior guidance at $481.5 million, with a negative foreign currency impact of 4% or $29 million. The U.S. dollar continued to strengthen, which negatively impacted our results. Our reported earnings per share was $0.23 or $0.37 when excluding restructuring and impairment charges of $9.8 million in the quarter. Our Q1 reported gross margin was 72.3%, which was negatively impacted by our geographic revenue mix and declining margins in our manufacturing partners due in large part to inflation. We did, however, experience a 60 basis point sequential improvement on $41 million less revenue as we focus on driving margin improvement with margin-accretive products and cost-saving initiatives on our way to our previously stated target of 73.5% to 74%. Gross margin for the core Nu Skin business was 76.4%, an improvement of 150 basis points compared to Q4 of 2022. Selling expense as a percentage of revenue was 39.1% and 100 basis points below the prior year period. For the core Nu Skin business, selling expense was 41.7%. As part of our focus on operational efficiencies and General and administrative expense was $133.9 million compared to $148.6 million year-over-year, a decline of $14.7 million. During the first quarter, we incurred a $9.8 million restructuring charge, which was the remaining amount in our previously announced strategic reallocation of our capabilities and resources in support of New Vision 2025. Operating margin for the quarter was 3.3% or 5.4%, excluding the previously mentioned restructuring charges. This compares to 8.6% in the prior year period. The other income expense line reflects a $1.5 million expense flat with the prior year period. During the quarter, we paid $19.4 million in dividends and did not repurchase any stock. Our Rhyz segment, which includes our manufacturing partners, was down 11% when compared to the prior year quarter and was negatively impacted by inflationary pressures. Our manufacturing entities continue to significantly benefit our core Nu Skin business by helping firm up supply chain and increase our speed to market for new products. Let me now provide initial Q2 projections and reiterate 2023 annual guidance ranges for revenue and EPS. For Q2 2023, we are projecting sequential improvement with revenue of $485 million to $525 million, including a negative foreign currency impact of approximately 1% to 2%, this projection reflects continued macro challenges and largely reflects our historical average sequential improvements from Q1. Our Q2 EPS guidance is $0.45 to $0.55 and assumes a projected Q2 tax rate of 18% to 26%. For the full year 2023, we are reiterating our February projections with revenue of $2.03 billion to $2.18 billion, which includes a 1% to 2% unfavorable foreign currency impact. We are reiterating reported earnings per share of $2.27 to $2.67 and are increasing non-GAAP earnings per share to $2.41 to $2.81, which excludes the first quarter restructuring charge of $9.8 million. Our guidance assumes a tax rate of 18% to 26%. While the current macro environment remains uncertain, impacting our near-term projections, we continue to believe that the future opportunities to accelerate our business will expand as we invest in our key strategic imperatives, supporting New Vision 2025. We are committed to continuing our operational improvement journey and believe our strong balance sheet and proven expense management discipline position us well for long-term success. And with that, operator, we will now open the call for questions.
Operator: We now have Chasen Bender from Citi.
Chasen Bender: I'd just like to start on kind of recruitment and the sales leaders. Just on a quarter-over-quarter basis, the paid affiliates and sales leader trends seem to look a little bit worse this quarter compared to last, with China affiliates being 1 notable exception. But I'm just curious how you're thinking about that in context of having just reiterated the full year guide? And is it your view that there are currently enough people in the Nu Skin network? It's really more about improving activity and productivity of those folks behind some of the new products you're rolling out? Or do we have to see an improvement in those affiliates and sales leader trends for you to reach full year numbers?
Ryan Napierski: Yes, Chasen, great question. So to your point, or to your question specifically, I think the key issue for us to remember is, first of all, the seasonality of the way the patterns move through our business with Q4 to Q1 always being 1 step, Q1 to Q2, et cetera, et cetera. So where we -- the way our annual cycle is planned with wellSpa in the second half, which typically is where the channel grows to drive customers. on that kind of cyclical basis, we're not concerned about the second half and the execution of that. I think where we really are focused right now is ensuring that the progression in the past from customers to affiliates, affiliates to leaders continues to move forward. Most notably, as we mentioned, we're really pleased with customers and affiliates in China being up sequentially. And which, as you know, would be kind of the first time in many years due to all the lockdowns over there. So not worried -- not concerned about that. We see those patterns happening. We see Korea looking favorable as well as we move throughout the year. So staying on guidance.
Chasen Bender: Got you. And then just on China, obviously, great to hear that it's coming in better than you expected especially considering effectively in February, those infection rates spiked and it was essentially locked down, even though it wasn't a viral zero-COVID policy wasn't there. Just curious kind of how the trends progressed through the quarter and how you exited? And just any color you can kind of wrap around there as we think about the return to growth by the end of the year?
Ryan Napierski: Yes. China is always interesting because of Chinese New Year at the beginning of the quarter. And as you know, it fluctuates year-to-year on the lunar calendar. This year, it happened to be in January. So slower January is accelerating through the end of the quarter.
Operator: [Operator Instructions] Up next we now have Mark [ph].
Unidentified Analyst: Can you hear me?
Ryan Napierski: Yes, Mark.
Unidentified Analyst: Great. I guess just to start on China. What metric -- do you think we should all be paying attention to paid affiliates obviously sequentially improved customer sales leaders in terms of sequential trends kind of mix there as well. But historically, you've talked about leading indicators. I guess I'm curious if anything has changed there in terms of what we should be looking for leading indicators to get back to the growth that you anticipated by end of year in China, and then sort of the same question for Korea because that was obviously a really nice sequential change relative to 4Q and just general weakness over the last year where if you take a look at the same kind of metrics there, you're not seeing necessarily the same that you're seeing in China. So I guess is there sort of the same read-through there. Sequentially, we should be looking at sales leaders in Korea as an example, but that wasn't improving in China. So any sort of directional color you can give on kind of leading indicators as you look at the business would be helpful.
Ryan Napierski: Yes, Mark, great question. So as we've talked through China in the past, -- the critical issue for China is that we start to see channel regrowth, and that's where it needs to start because it's been such a depletion over the past few years. And so where we're looking at is from the affiliate count forward from a channel perspective, Obviously, for healthy, sustainable growth, we need to see customers and affiliates grow. And ultimately, they do need to turn into sales leaders to ensure that we have the leadership base there to grow. But I'd start with affiliates that required to bring in the customers and then that will need to translate over time to sales leaders. On Korea, as you said, I mean, Korea is Korea's growth really came in part associated with the TRMe introduction there, which if you'll recall, we typically do a preview to a limited to the sales force followed by a consumer launch that would happen in Q2 in this case. And so we typically don't see the customer growth there. We typically see average volumes going up from the sales force with these introductions and then that primes the sell-in strategy for the sellout to come in Q2. And so they do look a little bit dissimilar from the PaaS and the KPI impact there just because of the nature of what's driving the growth. I would note, though, in Korea, as you all know, they're having some economic pressures, there's the housing -- Connie was just over there last week, and I was speaking with the -- I was in Japan last week with her and our Head of Korea. And the question is what happens at the macro level and how does that temper expectations or kind of the environment purchase and consumer spending, et cetera. But that's the question, Connie, anything you'd add to that?
Connie Tang: No. I think understanding the process and the sequence in which we drive some of our channel development programs. In this case, if I use core as the example that Ryan sighted of TRMe, where you're seeing for us, sequential growth and positive improvement in sales leader count is the expectation is that is what drives through the revenue generation from public consumer launch, therefore, bringing the consumer numbers with that as well. So -- but the inflationary challenges in these markets is real in a macro level, and we're extremely observed to what that looks like.
Unidentified Analyst: And I guess just related to that, so it sounds like maybe Korea, the improvement sequentially doesn't necessarily sustain or at least be the rate of change because of the TRMe launch? And I guess what was the amount of revenue from that introduction in the quarter and bigger picture, one of the things that we've been spending some time thinking about from a category standpoint is the split of what you're offering your customers between, call it, a personal care side, beauty, however you want to think about that versus nutritional offerings, kind of like at the TRMe and how do you think about the right path forward for kind of the split of the business? And has the want or acceptance of what you're offering to consumer as a platform to sell stuff changed over the last few years, meaning that I'm making this up, beauty was a big driver of growth pre-cut is that move to nutritional categories going forward. Again, it could be anything, but I'm just curious how you think about that.
Ryan Napierski: Yes. And Mark, I'm glad you're asking the follow-up on Korea because one thing that's really helpful in Korea. So when we talk about growth in -- there were 2 things in Q1 that were important and notable TRMe was one. We also made a change to the business model, as Connie mentioned in her portion that put greater emphasis on kind of what I would define as the midrange of a sales leader and it was -- and there was a minimum requirement put in on affiliates. And so that's why you see the affiliates underpacing in Korea the sales leader situation there. So that's just to make that no. It's more of designations of affiliates and sales leaders there. But that change to the business model is something that we believe and according to the sales force locally, is resonating really well there. So it improves the earnings potential of those early sales leaders with that change. So that's a healthy and helpful change that will improve moving into Q2, 3 and 4, but there is a year-over-year comparison issue in affiliates, where affiliates have a minimum. And so the low the low-performing ones weren't -- aren't included in that number anymore. So just that's the note on Korea. Regarding the product mix and how we look at that, as you said, we really are a beauty and wellness platform, and we look -- as you know, our business has historically been generally a 60-40 one way or the other between personal care and nutrition. Korea has been one of these unique markets -- well, I should say Korea and Southeast Asia that are both very much weight management focused unlike our U.S. business, which really isn't focused at all on that. But in Korea and Southeast Asia, we have a strong TRMe weight management business there that does really well. And in fact, according to Euromonitor, we're the number one weight management and lifestyle business in Korea today. And so we do see different markets balancing the portfolio differently. But as you said, our goal is beauty and wellness, and we see a balanced approach to the portfolio moving forward and even expansion of that over time. Thank you.
Operator:
Ryan Napierski: Yes. I think it doesn't look like there's any other questions in the queue. So I think we'll go ahead and wrap up the call here. But we appreciate everyone being on the call today. We're appreciative of your ongoing contributions as we continue to navigate the uncertain waters we're in. As we said, we're optimistic of our future. We're looking forward to second half and the back half of the year and a return to growth in the fourth quarter. We're also optimistic about our trends that we're seeing in China, in Korea, and we'll continue to work ferociously as we look to Americas and Southeast Asia improvements there. But again, just appreciate your partnership, and we look forward to updating you again next quarter as we go. Thank you all. Bye-bye.
Operator: Thank you for your participation in today's conference. This concludes the program.